Operator: Welcome to Intrusion Inc.'s First Quarter 2024 Earnings Conference Call and Webcast. [Operator Instructions] Please note this conference is being recorded. An audio replay of this conference call will be available on the company's website within a few hours after this call. I would now like to turn the call over to Josh Carroll with Investor Relations. 
Joshua Carroll: Thank you, and welcome. Joining me today are Tony Scott, Chief Executive Officer; and Kimberly Pinson, Chief Financial Officer. This call is being webcast and will be archived on the Investor Relations section of our website. Before I turn the call over to Tony, I'd like to remind everyone that statements made during this conference call related to the company's expected future performance, future business prospects, future events or plans may include forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Please refer to our SEC filings for more information on the specific risk factors that could cause our actual results to differ materially from the projections described in today's conference call. Any forward-looking statements that we make on this call are based upon information that we believe as of today, and we undertake no obligation to update these statements as a result of new information or future events. In addition to U.S. GAAP reporting, we report certain financial measures that do not conform to generally accepted accounting principles. During the call, we may use non-GAAP measures if we believe it is useful to investors or if we believe it will help investors better understand our performance or business trends. With that, let me now turn the call over to Tony for a few opening remarks. 
Anthony Scott: Thank you, Josh, and good afternoon, and thank you all for joining us today. As I think many of you know, the first quarter and the first few weeks of the second quarter have been filled with multiple milestones as we work through the many challenges presented to us. I'll cover many of the specifics in greater detail shortly, but I'd like to first begin by discussing our current stock price and market cap, which I believe are grossly undervalued and are not reflective of the true comparative value of our company and our technology. This issue remains top of mind for me, and I'm sure for all of you. Multiple members of our executive team, including myself and many of our existing long-term shareholders have continued to increase their investments in Intrusion stock for which I am grateful. You've heard from me on multiple occasions about my optimism for the future of Intrusion based on our unique core technology and based on our continued investment in and development of our unparalleled technology to ensure that we can address the most challenging cybersecurity issues of our time. And we've recently announced some important customer wins, which validate that optimism. And I want you to know that my optimism for our future is only increasing. Turning now to our sales activity. During the last call, we discussed the addition of 7 new logos, and we continue to build off this strong bookings momentum with the addition of 5 new logos. These new customers operate in a variety of different sectors, including natural gas exploration and development, water utilities and the government sector. The deployment of our technology and the revenue associated with these deployments will ramp up over the next few quarters. This is a pattern we expect to see more of with respect to the larger enterprises that we're engaged with. Now for an update on some of our recent partnership activity. As you may recall from our fourth quarter earnings call, we were notified that through our partner iOne Resources in the Philippines, our technology had been down selected to be a part of an award that would help protect the cybersecurity and integrity of the national elections in the Philippines. We're happy to announce that we've received confirmation a few weeks ago that our partner iOne Resources was awarded the final contract to supply Secure Electronic Transmission Services for the 2025 midterm elections in the Philippines. This is an important contract for both iOne and Intrusion, and has a total bid price of approximately $25 million. The Secure Electronic Transmission Services are scheduled to be fully operational by November 2024 and will begin contributing to our earnings in the second half of this year. We are working with all the relevant parties to determine the optimal deployment architecture for this solution, and we will know much more about the specific quantities and deployment time line for our solutions shortly. We anticipate the revenue from this one contract will be a minimum of $1 million ARR with the likelihood that it will become greater over time. We are continuing to see additional momentum from some of our other partnerships as well, which is evident by our announcement last week with our partner Total Information Management, with whom we announced an agreement to enhance the supply chain security for their customer, Orca Cold Chain Solutions. Under the terms of the agreement, TIM will provide Intrusion's advanced threat detection and prevention solutions to Orca Cold Chain Solutions to help protect their sensitive data and prevent disruption to the cold chain, ensuring the integrity and safety of perishable goods. This new agreement comes after a successful pilot program with Orca Cold Chain Solutions and resulted in the company deciding to purchase Intrusion's applied threat intelligence for 3 years. This agreement is already in effect, and we will begin to see the revenue benefits of this agreement beginning in our second quarter. We've also been awarded a new order for Intrusion Shield from our traditional government customer base. We began servicing this in Q2, and the revenue from this new order is expected to more than offset the lost Shield revenue we discussed in last quarter's call, but it also marks a milestone in terms of government adoption of Shield technology above and beyond the traditional consulting business we've long enjoyed. To wrap up on the partnership front, we also announced back in April that we had agreed to acquire a minority stake in Klever AI, a Houston, Texas-based artificial intelligence company, in an all-stock transaction. Klever AI is a cutting-edge technology company at the forefront of the artificial intelligence revolution and has been helping organizations thrive in the digital age by developing innovative and practical AI and machine-learning solutions that assist in transforming businesses generally. Klever AI currently operates in a wide range of industries such as health care, security, finance and IoT. Over the past 2 years, Klever AI has been both a partner and a customer of Intrusion, assisting with both the design and development of Shield endpoint and cloud solutions as well as incorporating Shield technology as a part of its customer solutions. We are excited to make this investment in Klever AI, which will not only continue to help improve our Shield technology in our evolving marketplace, but will also help broaden our customer penetration into multiple industries. Last week at the RSA Conference, every supplier of cybersecurity technology in attendance was touting its AI capabilities, and we will not be left behind in this important area. With respect to our product development efforts, we're continuing to invest in our Shield technology overall and specifically in our efforts to strengthen the multi-instance management aspects of Shield as well as additional capabilities in our endpoint and cloud solutions, including continuing to enhance our AI and machine-learning capabilities. All of this development is driven by customer input and market demands, and as I've said before, gives me confidence that we can be relevant for a long time in the future. Now briefly on to our financials. As you'll hear from Kim later in greater detail, total revenue for the first quarter was $1.1 million, representing a $0.2 million decrease on a sequential basis. The decline in revenue during the first quarter of 2024 was driven by a decrease in consulting revenue that was primarily the result of the continuing resolution with the federal budget not being approved until the last week of the first quarter. That hindered the timing of task awards on existing contracts and the issuance of new contract awards. With the recent awards I've mentioned, we expect that we will see meaningful growth in the second half of 2024. And finally, before I turn the call over to Kim to cover our financial results in greater detail, I would first like to spend a few minutes discussing the recent steps that we've taken to regain compliance with NASDAQ for continued listing on the NASDAQ Capital Markets as it relates to the minimum bid price of $1 and the equity standard. On April 22, we announced that we had closed on a private offering pursuant to which we sold an aggregate of 1.3 million shares of our common stock, each of which is coupled with a warrant to purchase 2 shares of common stock at an aggregate offering price of $1.95 per share. The private offering resulted in net proceeds to Intrusion of $2.6 million, and we intend to use the net proceeds from the private offering for working capital and general corporate purposes. This offering was the final step in our plan to achieve compliance with the NASDAQ minimum equity standard. And as a result of this private offering, our recently effectuated 1-for-20 reverse stock split and our exchange agreement of debt to preferred stock with Streeterville Capital, we received notice from NASDAQ on May 1, notifying us that we had regained compliance with the minimum bid price and the equity requirements for continued listing on the NASDAQ Capital Markets. I would like to thank our staff, our partners and our long-term shareholders for helping us execute our plan to regain compliance. With that, I'd like to turn the call over to Kim for a more detailed review of our first quarter financials. Kim? 
Kimberly Pinson: Thanks, Tony. Revenues for the first quarter of 2024 were $1.1 million, a decrease of $0.2 million on both a sequential and year-over-year basis. Consulting revenue in the first quarter totaled $0.7 million, a decrease of $0.2 million sequentially and $0.3 million year-over-year. Shield revenue for the first quarter was $0.4 million, which was flat sequentially and up $0.1 million on a year-over-year basis. On our last earnings call, we announced that a large Shield customer had decided not to renew their contract that would impact revenues beginning in Q2. As a result of the recent government order, we expect Shield revenues to remain flat or increase in Q2. We anticipate that the recent closed deals and new awards inclusive of the iOne Resources award to supply the Secure Electronic Transmission Services for the 2025 midterm elections in the Philippines will help drive Shield revenue growth in 2024. Gross profit was 80% for the first quarter of 2024 compared to 76% in the first quarter of 2023. The increase in gross profit margin in the current quarter is a result of product mix, with Shield revenues representing a higher percentage of revenues. Shield revenues now represent 39% of revenues in Q1. Operating expenses in the first quarter of 2024 totaled $3.4 million, a decrease of $0.1 million sequentially from the fourth quarter of 2023. As a result of the cost reduction measures that we implemented in March of last year and the savings initiatives that we continued to implement throughout 2023, we have now seen over $7 million in cost savings over the past 12 months. As we have noted on previous calls, as we grow our customer base and increase revenues, we may choose to accelerate our product development in future periods or marketing spend to increase brand awareness, which will result in increased spending. We will, however, continue to evaluate each spending decision while also making prudent investments in our long-term profitable growth. The net loss for the first quarter of 2024 was $1.7 million, an improvement of $1.1 million from our loss of $2.8 million for the fourth quarter of 2023. The improved net loss in Q1 is a result of interest savings. During the quarter, we converted $9.5 million in Streeterville debt to $9.3 million of newly created Series A preferred stock and $0.2 million to common stock. As a result of this conversion, we reversed the interest accretion associated with the ability to stock settle principal reductions. When comparing the net loss to the same period in 2023, net loss improved by $3 million from a loss of $4.7 million for the 2023 quarter. Turning to the balance sheet. On March 31, we had cash and cash equivalents of $0.1 million. Our principal source for funding operations in the March 2024 quarter was through the issuance of 2 notes payable to Tony Scott totaling $1.3 million and the issuance of common stock using our at-the-market program of $0.5 million. Subsequent to March 31, as Tony mentioned earlier, we closed on a private offering, which provided net proceeds of $2.6 million. We also generated approximately $0.6 million in proceeds through the sale of common stock using a warrant inducement program, which temporarily lowered the warrant exercise price and included a reload warrant. In addition, we have and will continue to utilize our ATM facility to fund our operations in the near term. All of these steps have improved our liquidity, providing the necessary funding to execute our growth plan and strengthen our balance sheet. I'd like to now turn the call back over to Tony for a few closing comments. Tony? 
Anthony Scott: Thanks, Kim. We've made tremendous progress over the past few months, overcoming many of the challenges that we've faced during the past year, which have now positioned us to focus solely on our vision of driving growth through our compelling products and innovative strategies that provide our customers with the tools they need to better identify, deflect and eliminate any cyber threats they may encounter. I look forward to sharing the next steps in our journey with all of you, and I want to personally thank all of our investors and financial partners for their continued patience and support as we execute our strategy. Now this concludes our prepared remarks, and I'll now turn the call over to the operator for Q&A. 
Operator: [Operator Instructions] Your first question for today is from Scott Buck with H.C. Wainwright. 
Scott Buck: Tony, I was hoping you could help clear something up for me. The iOne Resources agreement in the Philippines gets described as being potentially $1 million of ARR beginning in the second half of this year. But it's for a singular election, right? So what carries into 2025 that makes it annual recurring revenue? 
Anthony Scott: Yes. So the structure of the program and the bid that we were a part of has us stand up the equipment and have it all fully tested and ready to go by October. The elections don't actually occur until the spring of the following year. And then following that, everything stands down, but a bunch of reconfiguration and testing and additional capabilities will get deployed because, as you know, threats continue to evolve over time. So during that downtime, we'll be preparing and getting ready for the next set of elections and then we'll stand up the gear again. So from an operations perspective, it has an ebb and flow, but the work that we'll be doing with them will continue in different waves over the period of time. So that's kind of the reason it looks to us like ARR, it will be -- our revenue will be smooth over the life of the contract. 
Scott Buck: No, that makes sense, and that's great to hear. Second, I wanted to ask about the new logos this quarter and really the new logos last quarter. Is there a particular size that you're seeing the most traction in? And could you give us any kind of indication of what the average, either -- both duration, I guess, of the contracts are and what the size is in terms of potential revenue? 
Anthony Scott: There's no average at this point that makes any sense. So -- and there's a couple of reasons for it, Scott. Probably the biggest reason is that by their very structure, many of these start small and might be $100,000 or $200,000 or whatever, but then expand over some period of time. And so it's hard to create an average on deals like that. And I mentioned in the call, this is a pattern we're starting to see with some of the larger customers. So you'll see us announce these deals from time to time. That might be pretty small initially, but then 6 months later are double, triple, quadruple the initial contract. And then the second thing I'd say is we continue to win some deals that are relatively small in nature, meaning under $100,000, let's just say, for example, but are in industries that we want to be present in and serve as sort of pivot points for us to demonstrate our value in those industries. So we're not turning any customers away at this particular point. But just as an example, one of the managed service providers that we signed last year now has expanded our presence into 2 more customers. And that's not trivial for us. It's a proof point that, that customer, meaning the managed service provider, and their customers are excited about our technology. 
Scott Buck: Got it. That's helpful. And then last one for me, Tony. Just the mechanics of new customer onboarding. You guys are reliant on them in terms of timing? Or are they reliant on you in terms of timing? 
Anthony Scott: Every deal is kind of different at this point. The Commission on Elections one has a fixed deadline. We've got to be up and running. And we're working with those teams on the actual stand-up plan. Some of the others that we have don't have a fixed date and time like the Commission on Elections one. But in, I think, all of those other cases that I can think of, it's a discussion that we have with the customer about what makes sense. And I think as we've mentioned before, in some cases, we have to do site surveys with the customer, which involves potentially a few weeks of work before we actually install. And the other thing that we're seeing in some cases is depending on the age and the nature of the network equipment that a customer might have in their environment, we may need to do some additional work with those customers to either reconfigure their network slightly or in some cases, install our equipment in a different way than we initially anticipated. So we've seen all those cases, and we're fully prepared to deal with those as new customers come along. 
Operator: Your next question is from Ed Woo with Ascendiant Capital. 
Edward Woo: Yes. Congratulations on the [ Philippines ] iOne Resources deal. My question is, should we expect more opportunities in Asia or just international in general, with the Philippines deal? 
Anthony Scott: I think you can anticipate more in Asia Pac. As I think everybody realizes we've sort of underperformed in the U.S. over the last year or so, but we now see some signs where we think we're going to correct that with some of the more recent wins and so on. So proportionately, I think we expect to have a little more balanced set of wins over time. But in the short run, Asia Pac is a great opportunity for us and one that we expect will be really good for the company. One of the interesting things there is it's a little easier for us to get attention in that region because the cybersecurity isn't being so over marketed in that region as it is here. So it's a little easier for us to get attention and word of mouth goes really well there. In the U.S., there's just a cacophony of cybersecurity companies. I was at RSA this last week, and the noise level was just deafening. It was like the cicadas coming out of the ground that you're probably reading about in the newspaper. It's a deafening bunch of noise coming from our industry. So we'll take advantage of it wherever we can. 
Edward Woo: Great. Well, congratulations again, and I wish you guys good luck. 
Operator: Your next question for today is from Paul Rodriguez with WestPark Capital. 
Paul Rodriguez: Yes. I had a question. I wanted to ask you about your comments on federal. I wanted to see what you've seen in terms of visibility improvements for the June quarter in federal. If you have any thoughts about that? And then I have a follow-up. 
Anthony Scott: Yes. So we have, as I think Kim mentioned, already booked some contracts in federal that we expect will make up for the gap that we had from the lost contract from last year. And then we're in process on some additional work that we haven't secured yet. But I would say, overall, the opportunity looks pretty good for us for the rest of the year. We're not giving up. And I would expect and hope that we get some additional on top of what we've already landed. The -- in an election year, as you can imagine, everybody is quite sensitive to problems that can be created by both criminals and political adversaries and all those kinds of things, nation states and our solutions are well suited to help address some of those kinds of challenges. So we expect to do really well for the rest of the year. And we hope there's not another long continuing resolution at the beginning of the fiscal year, this next year. 
Paul Rodriguez: Okay. Helpful. One last question on the Klever AI announcement. Have you guys discussed any sort of roadmap on the endpoint and cloud products yet? 
Anthony Scott: Yes, we have a multiyear roadmap actually for those. And I expect that Klever will play a pretty important role in our continuing advancement of those products. 
Operator: At this time, there are no other questions in queue. I'll turn the call back over to our host, Mr. Tony Scott. 
Anthony Scott: Well, thank you, everyone. Again, as I said earlier, I really appreciate the patience. But I do want you to know that my enthusiasm for our future is, as I said earlier, greater than ever. We've put a lot of hard work in over the last couple of years. I and the rest of the management team have had our fair share of issues to deal with in addition to just running the company. And we have a lot of that, I'll call it, nonproductive work behind us now, and we're fully focused now on just growing our business, increasing sales, and we don't have the distraction of lawsuits and investigations and all of those other things to deal with, and nor do I want any of those things back ever again. So we're fully focused. We know what we've got to do. We've got a clear vision of our future, and we see some great signs that customers are ready to adopt our solution. So one of the things I've said to a number of people is that in addition to sales with some of these big contracts like the Commission on Elections and some of these other ones, some of our challenges are going to be now on the execution side, supply chain issues, making sure we can fully avail ourselves of these deals that we've won. I'm a pilot, I think as many of you know, and one of the truisms that I learned a long time ago is almost anybody can learn very quickly to take a plane off, but landing the plane is the hard part. And I've used this analogy before, but we've got a lot of plane landings to do in the next 6 months. And I really look forward to it. It's a good problem to have, and I think our team is ready to take on the challenge. So I just want to say thanks to everyone. Look forward to next quarter's call with lots of enthusiasm. Thanks so much. 
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.